Operator: Good evening. My name is Tina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Surf Air Mobility Third Quarter 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. Thank you. I will now pass the call over to Sam Levenson. Please go ahead.
Sam Levenson: Thank you, operator, and good afternoon, everyone. Welcome to Surf Air Mobility's third quarter 2025 earnings call. I'm joined today by Deanna White, Chief Executive Officer, and Oliver W. Reeves, Chief Financial Officer. Our earnings release can be found on the SEC EDGAR website and on our Surf Air Mobility Investor Relations page at investors.surfair.com. During this call, we will discuss our outlook and expectations for future performance. These forward-looking statements may be preceded by words such as we expect, we believe, we anticipate, or other similar statements. These statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of those risks have been set forth in our earnings release and in our periodic reports filed with the SEC. During today's call, we will present both GAAP and non-GAAP measures. Additional disclosures regarding non-GAAP measures, including a reconciliation of GAAP to non-GAAP measures, are included in the earnings release we issued today, posted on the Surf Air Mobility Investor Relations website and in our filings with the SEC. I'll now turn the call over to Surf Air Mobility's CEO, Deanna White. Deanna?
Deanna White: Thank you, Sam, and thank you to everyone who has joined our call today. One year ago, we announced a four-phase transformation plan to reset the financial and operational trajectory of Surf Air Mobility. Each phase was designed as a building block to execute on our core mission, to build the air mobility platform that will transform flying. Our goal is to fly people using technology that generates long-term value for our shareholders. The plan was crafted to first strengthen the financial position of the company, then leverage our many strengths into catalysts for the adoption of software and electrification technology. Our transformation plan is proving to be reality, and not just theory. We are executing and demonstrating improvements in all areas of the business: financially, operationally, and strategically. Financially, over the past year, we have improved our capital structure and deleveraged our balance sheet through a series of debt and equity transactions. During the twelve months ended September 30, 2025, we secured a $50 million credit facility and raised $50 million of additional capital through equity issuances. Furthermore, we reduced our debt by $52 million through pay downs and conversions to equity. Subsequent to the end of the third quarter, we announced a pivotal $100 million strategic financing that will accelerate growth and further strengthen our balance sheet. This financing includes $26 million of new capital to drive development and commercialization of Surf OS. The remaining $74 million, structured as a zero-coupon convertible note, will be used to refinance debt, reducing cash interest expense and allowing for further deleveraging of the balance sheet. We will continue to look for opportunities to strengthen our balance sheet and unlock catalysts for our shareholders. Turning to our third quarter results, this quarter marks the seventh consecutive quarter that we have met or exceeded our revenue and adjusted EBITDA guidance. Third quarter revenue of $29.2 million exceeded the company's guidance of $27 million to $28.5 million and rose 6% sequentially versus the second quarter. Adjusted EBITDA loss of $9.9 million was within our guidance range, as the disciplined execution led by our experienced management team once again yielded expected results. With another quarter of improved financial results behind us, we have raised our 2025 revenue guidance to at least $105 million and remain on track for a full year of profitability in our airline operations. Operationally, we have transformed our commuter airline, consistently producing strong results which have translated into our second consecutive quarter of profitability in this business. I would like to recognize the achievements of the seasoned aviation team recruited at our systems operations center, which was relocated to Dallas, Texas, this past year. This team has created a high-functioning operation grounded in performance metrics that produces safe, reliable, and profitable results for the organization. Our operations position us to both become a preferred operator in new markets and to deploy new electrification technology coming to market in the near future. We produced exceptional sales results in our on-demand business for the third quarter, generating an approximate 40% increase in revenue compared to both the second quarter and the same quarter of the prior year. Our on-demand business is executing strongly against our key recalibration initiatives. Third quarter results benefited from a shift in the mix of flying from turboprop to jet aircraft and from domestic to international flights, which resulted in a 14% increase in revenue per flight. At the same time, we reduced expenses of the on-demand team by 36% since adopting Surf OS, generating higher revenues for less cost. Additionally, the team implemented profitability enhancements by securing inventory through volume purchase agreements with operators who are also users of Surf OS. Our on-demand business is well-positioned for profitable growth. Surf Air Mobility is at the epicenter of the air mobility market, not only as one of the largest commuter airlines in the country, having flown over 300,000 passengers in the past twelve months, but also as a result of our relationships with over 400 operators who serve our on-demand operations and who are ideal customers of the Surf OS platform in the future. The Part 135 industry is made up of small businesses with unsophisticated tech stacks and fragmented data. As an operator and broker, we have unique insight into the technology needs of this industry. Our exclusive partnership with Palantir allows us to leverage cutting-edge AI tools and best-in-class data management expertise to build an all-in-one AI-enabled software platform for this industry. During the third quarter, we entered a five-year agreement with Palantir that expanded our relationship to include exclusivity for products developed for charter brokers and operators. We obtained the ability to team with on solutions designed for enterprise customers, aircraft manufacturers, and the FAA. As part of the recent strategic transaction, we added resources from Palantir to further these efforts. In our Surf OS business, we continue to make substantial progress on driving efficiencies in our own operations by adding incremental functionality and expanding our applications. We have successfully implemented multiple applications within our operations and are already seeing significant improvements in efficiency and profitability. In our scheduled operations, we launched an aircraft and crew scheduling tool in our Northeast and Hawaii networks that required parallel testing and FAA approvals. We anticipate that the entire network will be live on this tool by the end of the year. Our Surf OS team also launched additional features within the mobile crew app that increased pre- and post-flight communications and reporting. Lastly, robust CRM functionality was built into Broker OS to streamline customer insights and promote sales efficiencies. During 2025, Surf OS has been in a beta test phase with eight users who have given us valuable insights. We have secured seven LOIs from brokers and operators extremely interested in purchasing Surf OS once we commercialize this product. In October, the company hosted a private event at NBAA, showcasing Surf OS and conducted 18 product demos for a select group of brokers, operators, aircraft manufacturers, and enterprise clients. We are extremely pleased with the progress made in the last year and expect to exit 2025 with strong momentum as we enter the strategic phases of our transformation plan next year. Strategically, Surf Air Mobility is well-positioned to continue optimizing its businesses and begin pursuit of the expansion and acceleration phases of our transformation plan. First, we will commercialize Surf OS and begin full deployment to third parties in 2026. With a recently announced financing, we have secured funding for the continued development and commercialization of Surf OS. Surf OS is AI-driven software powered by Palantir that organizes key stakeholder data into a single platform allowing actionable insights for a business. We intend to launch our three flagship Surf OS products in 2026: Broker OS, Operator OS, and Owner OS. Broker OS manages end-to-end sales and sourcing and will empower charter brokers to automate processes. Operator OS improves efficiencies and the utilization of planes, pilots, and airport staff. Owner OS delivers transparency and optimization to private aircraft owners to generate better returns on their aviation assets. These products can be integrated into customized solutions for enterprise clients. We intend to announce our commercialization plan with milestones in the coming months. Second, we are pursuing strategies to showcase new technology in our airline operations network and in new markets. We currently provide commuter service to approximately 200,000 interisland flyers annually within the state of Hawaii. The length of these flights, ranging from 25 to 75 miles, is the perfect testing ground for electrified aircraft coming online in the near future. We are working with aircraft manufacturers in the state of Hawaii to launch a pilot program within our existing network. Additionally, we intend to launch a Part 145 maintenance program to service existing and new technology aircraft and are scouting potential locations within our network to invest. The high-functioning system operation center we have built positions Surf Air Mobility to become a preferred operator for companies looking to adopt new aircraft technology in their business models. Billions of dollars are being invested across the aviation industry in the development of new technologies focused on smaller aircraft flying shorter distances. With over a decade of operating both scheduled and on-demand short-haul flights, we have flown millions of passengers millions of miles and work with hundreds of operators in this market. This uniquely positions us to deploy these new technologies across a variety of business models and partners. In the meantime, we will continue to add capacity to our network utilizing combustion engine caravans, of which we are taking four new deliveries in 2026. Our work on detailed launch plans continues for new routes we intend to unveil next year. Third, we intend to grow our on-demand business and expand the number of operators in our network through a series of strategic initiatives directed at profitable revenue growth. We will continue our efforts to secure a supply advantage through operator partnerships that provide volume pricing benefits. To achieve our revenue aspirations, we plan to grow our sales team by acquiring seasoned broker talent and book the business. Currently, our on-demand team is working towards the coveted Argus broker accreditation, which will equip our operations with a 100% operator vetting and strong compliance oversight. Lastly, let me update you on our electrification efforts. We have targeted securing a supplemental type certificate for the electrified powertrain in 2027. As such, we have been working with key organizations within the industry supply chain and are evaluating partnership opportunities where we no longer bear the full cost of development. In addition to being the largest passenger operator of such Grand Caravans, we have an exclusive agreement with Textron Aviation, the manufacturer of this aircraft, for us to be the exclusive supplier of electric and hybrid electric powertrains, and for Textron Aviation to provide global marketing, sales, and distribution for these electrified aircraft. As our progress toward this initiative continues, we look forward to updating you as things unfold. Surf Air Mobility has never been positioned as strongly as we are today, and we fully intend to leverage that strength to drive shareholder value over the coming years. With that, let me now turn the call over to Oliver W. Reeves to cover the recently announced strategic financing and our Q3 results and Q4 outlook in more detail. Oliver?
Oliver W. Reeves: Thank you, Deanna. In my remarks today, I will address the company's third quarter results and outlook for the fourth quarter and full year. But first, let me share details on our continued efforts to strengthen our balance sheet and secure capital for our technology initiatives that we believe will create significant shareholder value. On November 10, 2025, Surf Air Mobility announced a $100 million strategic transaction that will continue to enable us to achieve our transformation plan. This transaction directs $26 million from new equity issuances specifically to the development and commercialization of Surf OS, shifting this initiative from its beta phase into its commercial phase. A new institutional investor and a Surf Air Mobility cofounder, together with a related party, each purchased $10 million of this offering, which includes common stock and two-year warrants exercisable at a purchase price of $3.32 per share. Finally, Palantir was issued $6 million of new common equity as prepayment for software and additional services. This capital will be used to fund the continued development of Surf OS' three flagship products, Broker OS, Operator OS, and Owner OS, and to enable the scaling of our engineering and sales capability. The proceeds will also be used to invest in the development of new modules and products to capture a larger share of the growing air mobility software market. In the coming months, we intend to publicly share more information about Surf OS products, the sizable and growing addressable market, our distribution and commercialization strategy, and the pricing and business models, which will set revenue expectations for 2026. Concurrently with the equity raise, Surf Air Mobility completed the sale of a $74 million convertible note, yielding net cash proceeds to the company of $65 million. The company will use a portion of these proceeds to pay $51 million due under the company's four-year credit agreement with affiliates of Convest Partners and $8 million outstanding under the company's secured convertible note with Partner for Growth SPY LP. In aggregate, repayment of these liabilities represents a reduction in cash interest expense of approximately $5.5 million on an annualized basis. Earlier in the quarter, a lender transferred $35 million of the outstanding principal under their convertible note to a third party under terms identical to the original note. The new holder of the note converted the entire balance, inclusive of accrued interest, into 7.2 million shares of the company's common stock. This resulted in the elimination of a $35 million liability and a reduction of $3.5 million in annualized cash interest expense. Finally, during the quarter, the company elected to pay down $8.2 million of the outstanding principal of the GEM mandatory convertible security. To summarize, we significantly reduced our liabilities in Q3 and have subsequently provided funding for the continued development and commercialization of Surf OS. As a result of the financing transaction, we now see a path for the company to be debt-free. Let me turn to the results of the third quarter and our outlook for the remainder of the year. As discussed in our earnings release, revenue from the quarter exceeded our guidance, and adjusted EBITDA met our guidance. Strong execution of our transformation plan has driven significant improvement in our key operating metrics in both our scheduled service and on-demand operations, yielding significant and sustainable improvements in financial results. Third quarter revenue of $29.2 million exceeded our guidance range of $27 million to $28.5 million and rose 6% sequentially over the second quarter, driven by a 42% increase in on-demand revenue partially offset by a 4% decrease in scheduled service revenue. On a year-over-year basis, revenue increased 3%, driven by a 40% increase in on-demand revenue partially offset by a 7% decrease in scheduled service revenue. The drivers of both sequential and year-over-year increases in revenue were primarily related to a shift in the mix to larger aircraft and international flights, which resulted in an increase in revenue per departure in our on-demand business, and the exiting of unprofitable routes offset by improved operational metrics in our scheduled service operation. Our adjusted EBITDA loss of $9.9 million for the third quarter was within our guidance range of a loss of $10 million to $8.5 million. Compared with the second quarter and the same quarter of the prior year, adjusted EBITDA loss was relatively flat. Adjusted EBITDA loss continues to benefit from improvements in key operating metrics, including on-time departure, on-time arrival, and controllable completion factor, demonstrating the permanency of our transformation strategies. Our airline operations achieved a second consecutive quarter of profitability, defined as positive adjusted EBITDA. Now let's discuss our outlook for the fourth quarter and full year. For the fourth quarter, we expect revenue to be within a range of $25.5 million to $27.5 million and adjusted EBITDA loss to be within a range of $6.5 million to $8 million. These ranges reflect the exit of unprofitable routes and continued efforts to improve profitability. For the full year, we are raising our revenue guidance to at least $105 million, and we are reaffirming our guidance for full-year airline operations profitability, defined as positive adjusted EBITDA. With that, let me turn the call back over to the operator for Q&A. Operator?
Operator: At this time, I would like to remind everyone, in order to ask a question, press 1 on your telephone keypad. Your first question comes from the line of Amit Dayal with H.C. Wainwright. Your line is open.
Amit Dayal: Thank you. Good afternoon, everyone. Congrats on all the progress. With this financing, what kind of cash runway do you have in terms of commercializing Surf OS?
Deanna White: Hi, Amit, and thank you for your interest in being on the call. I'll turn that question over to Oliver, the CFO, to answer.
Oliver W. Reeves: Hi, Amit. As you saw, there were really two uses for the financing. One is obviously the investment into Surf OS, and we believe that that will give us a runway of between eighteen and twenty-four months.
Amit Dayal: Okay. That's good to hear. Thank you for that. You have some really interesting partnerships with Palantir and Beta Technologies. Can you talk a little bit about what is happening with those efforts, especially in the context of Beta Technologies, which just went public? How are you potentially working with that company to commercialize the Surf OS offering?
Deanna White: We announced in the second quarter working with Elektra and that we had an Elektra aircraft order for their future CTOL. But obviously, there is a lot of really interesting electrification technology coming from folks like Beta, Archer, and Joby that are coming in the near future. As a company, we are well-positioned to be able to partner with all of these folks that are bringing on this new technology. Why is that? It's because we fly in the regional air mobility space, which these vehicles, because they're shorter haul distances, will be able to be perfect testing grounds for those. And we're also in our Surf OS product. We are developing the platform in which all of these types of products can play within our platform, whether they're in our network or if they're deployed in other operators' networks. They can be within our Surf OS commercial platform and be part of an ecosystem for all of these new products that are coming online in the very near future.
Amit Dayal: Okay. Thank you for that. Apologies if I got the Beta Technologies thing wrong. From an operating perspective, as you are exiting some of these unprofitable routes, are there opportunities to lower operating costs over the next twelve to eighteen months?
Deanna White: Absolutely, Amit. We are still optimizing our airline operations. We don't have all the capabilities of Surf OS fully capable in our operations. There are still more benefits to receive once we do have all of those tools in place. We have the ability to use the optimization, so we can still hit those really great operational metrics that we are today consistently. But in the future, using technology, we should be able to do it with more efficiency and more optimization, which would require, obviously, less resources and less cost in the system. So, we do plan and we do see the opportunity for increased levels of profitability and even operational performance in the future.
Amit Dayal: Understood. I'll take my other questions offline. And again, congrats on all the execution.
Deanna White: Thank you very much, Amit. Your next question comes from the line of Austin Moeller with Canaccord Genuity. Your line is open.
Austin Moeller: Hi, good afternoon. Just my first question here. Are there any features of Surf OS that you plan to make exclusive for your on-demand or scheduled business, or will all of your beta testers have access to all of the features of the stack?
Deanna White: Our intention is to have all the features available to third parties. We represent a great staging ground and testing ground because we have a unique ability to be both a broker and an operator. We bring insights into what is needed. So when you're working hand in hand with the tech team and Palantir, to bring insights into the product requirements, we're able to make an amazing state-of-the-art tool that we are using in our own space. And we want that product to be deployed to other folks in the space and bring those people into the commercial and the ecosystem that that software develops for the industry.
Austin Moeller: And on the scheduled business, so revenue was a little lower year over year. How many more routes might you expect to remove from the business before adding some of the new tier-one routes? And where geographically are you looking to add the new routes?
Deanna White: So we have a few more exits in the fourth quarter. That's why our outlook for the fourth quarter in revenue dropped a bit. But we will be at the end of it, and all of the exiting of the unprofitable routes will be complete by the end of this year. Unless, of course, one of those routes tries to hold us in longer before they can get the new carrier in. As far as the announcement of any specifics on the 2026 launch of a new route, we don't want to do that too soon to give away that competitive advantage or exactly where we're going. But the team is busy developing and has a full business plan on exactly how that will come to play. And, obviously, we've used a lot of really good data that we have on where the demand is. Where are people traveling? That we can take them out of their cars and put them into the air using our service, and we have used that to make our decisions and then down-select where we're gonna go.
Austin Moeller: Great. Thanks for the insights there.
Deanna White: Your next question comes from the line of David Joseph Storms with Stonegate. Your line is open.
David Joseph Storms: Good evening, and thank you for taking my calls. I did want to start, Oliver. You had a comment in your prepared remarks that you see a path for the company to be debt-free. I was just hoping you could speak a little more to maybe some of the variables that you would see impacting that and a sense of a timeline there.
Oliver W. Reeves: Well, as you see, the convertible was designed with features that would allow us to gradually delever our balance sheet. So we feel that over time, this is a much better path for us rather than facing high interest or high cash interest debt and then bullet payments. So we feel pretty good about that across the duration of the convert, which, as you see, has a maturity of October 31, 2028. So as that converts and as we succeed, hopefully, before then, we have a great path to becoming debt-free.
David Joseph Storms: Understood. I appreciate that. And then I also did want to circle back to the comment around Surf OS, which commercialization, hopefully, within the next eighteen to twenty-four months. The logistics around that, would you expect some sort of soft launch in the twelve to eighteen-month range that would maybe start generating revenue? Or I guess maybe what are your thoughts around that as we get closer to getting Surf OS on its feet?
Deanna White: Yeah. So thanks, David. We have a commercial plan. We'll unveil it in the coming months, but we do plan in 2026 to start generating revenue with that product, and we will have revenue guidance that we give out and further discussion of the business model and the commercialization plan for 2026 and beyond. But we are starting commercialization. We're out of the beta phase, and we're doing everything. And this recent financing that we got for the strategic transaction we just announced is the catalyst to be able to start a full commercialization.
David Joseph Storms: Understood. That's great. And then one more for me, if I could. Just any commentary around the recent government shutdown. Has that impacted your business model in Q4 here?
Deanna White: Yeah. So our company's business is impacted in two ways from the government shutdown. I'll speak to the first because it's most on top of people's minds. It's the traffic reductions that were recently announced by the FAA. None of those traffic reductions targeted us or any of our operations or any of the regional flying. They were more directed at larger hubs in the major airports. So we did not have any capacity reductions, and we continued on operating and carrying our customers without any disruptions. The second area that we can be impacted from is we do participate in the Essential Air Service Program. We do routes in the rural areas under that program. That program includes subsidies to the companies who operate those flights. The DOT did, during the shutdown period, notify those carriers and say that there would potentially be a suspension of those fundings. That has not happened, but even if it was, we would continue to operate until the government came back up. We want to support all the communities in our Essential Air Service program, and we are committed to doing that. Right now, the current letter from the DOT talks about a suspension starting November 18, but, hopefully, the government can get back in this week and not be affected by that at all. So those are the two areas that we would have been affected, and so far we haven't. We've gotten all our EIS subsidies that we have billed, and haven't had any flight cancellations. I will now hand the call back to Deanna White for further response.
Deanna White: Hi, everyone. For the first time during this earnings release, we have launched a new retail investor Q&A forum called Say Media. So we had a number of investors who submitted, and I appreciate everyone who submitted questions to that. We selected a handful of the top ones that were voted on by the folks to address and answer. I'll start with the first one. Given the current market skepticism and volatility, what is your plan to gain investor confidence and prove Surf Air Mobility can execute its vision better than competitors? At Surf Air Mobility, we are hyper-focused on shareholder value. And we've come a very long way in the last year. Over a year ago, we launched the transformation plan. So that is the plan that we are executing on to make sure that we can gain investor confidence in our company. The plan over the last year, I have spoken of, has been very effective. We have hit all of our milestones. We have improved and stabilized our operations. We've done a lot of work to stabilize our balance sheet and address our capital structure. And with this recent announcement, we are allocating funds to the higher growth areas of Surf OS, and we have delivered on the development milestones within Surf OS for the last year. You see us proving and performing against that plan. As we've achieved our seventh consecutive quarter of meeting or exceeding our guidance, investors are noticing. In the last six months, we've seen ten times the amount of shareholders in stock, and it's been great to see that many people interested and investing in our company. The second question was, with all the volatility over valuations and pullback from investors in regards to AI, can we expect true and realistic numbers coming from your company? So I'll turn this question over to Sudhin Shahani, our cofounder, to address.
Sudhin Shahani: Thank you, Deanna. As you commented on earlier, we're going to comment on the numbers for the software Surf OS business for 2026 later on. And our 2026 is our year to start commercializing. But I'm going to address a couple of key points around our approach and positioning in the AI space. What we're building is a vertical AI product. We're solving specific high-value problems for businesses, using domain-specific data in an industry we consider ourselves an expert. We're not investing in foundational models, and we have a capital-efficient approach here, building core applications and leveraging data infrastructure from Palantir. And I would make a point that there are clear examples of companies in the space providing business solutions and applying AI with high degrees of profitability in these situations. Our partner Palantir is actually a perfect example of that.
Deanna White: Thank you, Sudhin. The next question is very pertinent because we are talking to you from the Hawthorne Airport, where we have our corporate headquarters for this call. There was a recent announcement last week that Archer Aviation announced their acquisition of the Hawthorne Airport. Considering the corporate headquarters is there, what changes do you expect to emerge from this? Are there plans to work with Archer considering they're also a Palantir partner? Interestingly enough, we have been talking and highlighting the underutilized and underinvested airports that exist throughout the country. There are 5,500 public-use airports just like Hawthorne that can be used for the future of aviation through advanced air mobility. So we've been ahead of the curve because we play in this space, and we've been talking about this for a while. Interestingly enough, the industry and the investment in the aviation industry are moving from investment in R&D with OEMs that are making these aircraft and starting to move into infrastructure investments. This is going to bring a massive investment cycle change because you've got to now go in and make all the investment to have all the infrastructure needed for all these vehicles that are coming in the near future. So it makes sense that a party and a player like Archer Aviation would purchase such a thing. As far as Hawthorne Airport, and as far as partnering with these types of players, we're someone who flies today in those spaces in the shorter haul miles. And we're developing a software platform for that industry. And so we'll likely work with many of these best-in-class next-generation manufacturers to help bring their vehicles into the ecosystem and to our customers. And our last question is, what would be the main goal of the company to achieve by 2026, so in the next year? We want to continue to deliver execution on our transformation plan. Our transformation plan has four phases. We're in the second phase, moving into the third phase. We will continue to demonstrate stable, permanent operational performance, improving and optimizing our business through the adoption of software and the technologies that we ourselves are developing. The big thing in the next year is going to be our commercial rollout of Surf OS that we have planned. And we have the funding for that with the recent strategic transaction that we announced earlier this week. So that concludes our Q&A. Thank you for tuning in, listening to us, and the continued support of our company. We look forward to talking to you in our next quarter or installation when we start talking more about 2026, and we're able to provide more insight into the commercial details and the plans we have for 2026. This concludes today's conference call. You may now disconnect.